Operator: Greetings. And welcome to the Lexington Realty Trust Fourth Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Gabriela Reyes, Investor Relations for Lexington Realty Trust. Thank you, Ms. Reyes. You may begin.
Gabriela Reyes: Hello. And welcome to the Lexington Reality Trust fourth quarter and year end 2014 conference call. The earnings press release was distributed over the wire this morning and the release and supplemental disclosure package will be furnished on the Form 8-K. In the press release and supplemental disclosure package, Lexington has reconciled all historical non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirement. If you did not receive the copy, these documents are available on Lexington’s website at www.lxp.com in the Investor section. Additionally, we are hosting a live webcast of today’s call, which you can access in the same section. At this time, we’d like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, Lexington believes expectations reflected in any forward-looking statements are based on reasonable assumptions, Lexington can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time-to-time in Lexington’s filings with the SEC and include the successful confirmation of any lease, acquisition, build-to-suit, financing or other transactions or the final terms of any such transaction. Lexington does not undertake a duty to update any forward-looking statements. Joining me today from management are Will Eglin, Chief Executive Officer; Robert Roskind, Chairman; and Richard Rouse, Vice Chairman and Chief Investment Officer; Patrick Carroll, Chief Financial Officer. Now I will turn the call over to Will.
Will Eglin: Thanks, Gabby, and welcome, everyone, and thank you for the joining the call today. I’d like to begin by discussing our operating results and accomplishments for the fourth quarter and for the full year. For the fourth quarter of 2014, our company funds from operations were $0.27 per share, which brought company FFO for 2014 to a $1.11 per share, a 9% increase compared to 2013, when company FFO per share was a $1.02. Growth in 2014 was primarily driven by investment activity during the past year and refinancing savings. In the fourth quarter, we invested approximately $25 million in ongoing build-to-suit projects and loan investments, made three acquisitions for approximately $70 million and sold four properties for approximately $167 million, consistent with our portfolio, management and capital recycling objectives. Our strong and steady leasing work continued and we executed leases totaling approximately 1.9 million square feet, raising renewal rents by 4.6% and ending the quarter with a more balanced rollover schedule. These accomplishments furthered our objectives to continually improve our portfolio and strengthen our cash flows, while also reducing the risk associated with lease rollover. Our overall portfolio was 96.4% leased at year end, which was down 120 basis points compared to third quarter, but consistent with our previously communicated expectations. Overall, in 2014, we acquired six properties for approximately $122 million, invested approximately $32 million and three build-to-suits that were completed during the year and invested approximately $90 million in build-to-suit projects under construction. Our single-tenant invest pipeline is sizable compared to year ago and we are optimistic about our investment opportunities in 2015. Based on transactions closed or under contract, we expect purchases to total approximately $200 million to $225 million in 2015, and we expect to fund approximately $125 million to $150 million in underway build-to-suit projects. In addition, we are very optimistic that our pipeline will grow considerably as the year progresses. Cap rates on our forward build-to-suit and purchase pipeline averaged about 7% on a cash basis and 8.2% on a GAAP basis. Although, the market is competitive, we believe investment opportunities are plentiful and yields are attractive to us, when compared to our financing costs. While build-to-suits do not generate cash flow or funds from operations until construction is completed, we believe this strategy creates significant value for shareholders by adding modern buildings with long-term leases to our portfolio and capturing stabilized yields well above current cap rates in the acquisition market. In addition, we believe the long-term leases with escalating rents we have been adding to the portfolio are strengthening our future cash flows by extending our weighted average lease term, balancing our lease expiration schedule, reducing the average age of our portfolio and supporting our dividend growth objectives. We also continue to execute our disposition strategy and in the fourth quarter we made good progress on our capital recycling efforts, selling approximately $167 million of non-core assets from the portfolio, consisting of two vacant office properties and two suburban office properties. Overall, during 2014, we completed 16 sales for approximately $282 million at a cap rate of approximately 7% -- with 77% occupancy, taking advantage of market demand and pricing to meaningfully upgrade our portfolio and reduce our exposure to office properties. We continue to focus our efforts on dispositions from a strategic perspective, augmenting the transformation of our portfolio and providing cost effective timely capital to support investment activity, while executing a strategy that will reduce our office market exposure, so that our portfolio is concentrated in fewer larger markets. On page 21 of the supplemental, we have included a table showing the markets where we derive most of our single-tenant office revenue. Our current expectation for 2015 is that disposition will be approximately $300 million to $350 million, an increase from our prior guidance of $200 million to $300 million of dispositions. Of this total multi-tenant dispositions could total $152 million to $180 million, conveyances to mortgage lender of vacant buildings could total approximately $62 million and other dispositions could total up to $100 million. Asset values continue to be strong and dispositions continue to be an attractive option for us, especially as we look at monetizing certain formerly vacant or under occupied properties that we have now leased up to high level of occupancy. We're currently marketing Sea Harbor Center in Orlando, Florida and Transamerica Tower in Baltimore, Maryland and would expect to market our Palm Beach gardens, Florida property later this year as we continue to monetize stabilized non-single-tenant properties. Such capital recycling will allow us to create liquidity, could redeploy into our investment pipeline, including our build-to-suit projects, although this approach can have a near-term dilutive impact on funds from operations, it should result in the creation of long-term value for shareholders. As we’ve stated before, one of our strategic objectives with respect to our disposition activity is to achieve a better balance between office and industrial revenue in the part of our portfolio that has lease term shorter than 10 years. The office-to-industrial revenue mix in this part of our portfolio, historically, has been running about 3 to 1 but for 2014 is 2.7 to 1. And we continue to be focused on managing this ratio down to about 2 to 1 over the next several years. The continued targeted sale of certain office buildings will speed this transition and make our portfolio less capital intensive to manage over time. With regard to our leasing, we have continued to achieve a steady pace of activity. In the fourth quarter of 2014, we executed approximately 1.9 million square feet of new leases and lease extensions, bringing our total for the year to 5.1 million square feet and our 2015 expirations now represent just about 3.2% of our GAAP revenue. During the quarter as expected and as detailed on page 17 of the supplemental, we have leases totaling 681,000 square feet on single-tenant buildings, which expired and were not renewed or were terminated. Four of these properties, which generated funds from operations of approximately $4 million in 2014 may be conveyed to mortgage lenders in full satisfaction of approximately $62 million of non-recourse debt. Overall, during the quarter we extended six leases with annual gap rents of $5.7 million, which is 4.6% greater than the previous rents and cash rents also increased by 4.6% on renewals. Our same-store cash NOI increased 0.6% for 2014 and decreased 1.3% during the fourth quarter of 2014, compared to the fourth quarter of 2013, primarily reflecting the impact of negative leasing spreads on renewals. Looking forward, as previously disclosed although the impact is not material at this point, renewal rents are likely to be under pressure through 2015 before improving in 2016. We currently have 2.8 million square feet of space which is vacant or subject to leases that expire through 2013. We believe that by the end of this year we can address roughly half of such expiring or vacant square footage primarily through dispositions and secondarily through releasing. After extending the lease on our Westerville, Ohio property, we now have eight single-tenant buildings with expiring leases in 2015, five of which are office buildings. Together these eight properties generate approximately $9.3 million of annual rental revenue in 2014. And we're expecting five of these properties to become vacant, representing about $7 million of annual rental revenue, the bulk of which is in the three office properties located in Southfield, Michigan, Lakewood, Colorado, and Foxboro, Massachusetts that we have discussed on previous calls. In our guidance, we assume that these properties will be vacant through the end of 2015. Beginning in the second half of 2015, we expect tenant retention to improve and as mentioned above, we just extended one lease with InVentiv Communications for over 10 years, starting to put this concentrated period of tenant move outs behind us as we move forward due to portfolio with a substantially lower risk profile. Beyond this, as we execute our acquisition and capital recycling strategy, we expect our portfolio is likely to include a greater number of leases with annual or other rent increases which we ultimately expect will support a sustained healthy growth rate in net operating income. As a result of our leasing activity and new investments as of December 31, 2014, approximately 41% of our rental revenue for the year ended December 31, 2014 came from leases of 10 years or longer. And we're well on our way to achieving our interim goal of deriving at least half of our revenue from leases, 10 years or longer. Once this target is achieved, we expect to raise the target further and continue building a diversified portfolio of long-term net leases with stable growing cash flow. With the weighted average lease term in our acquisition pipeline of approximately 18 years, reaching these goals will become more visible as we add new assets to our portfolio. Our single-tenant lease rollover through 2019 has now been reduced to 29.1% of revenue from 38.5% of revenue one year ago. And we no longer have concentrated risk of lease rollover in any one year. By any measure, we’ve made very good progress in managing down our shorter-term leases and extending our weighted average lease term, which is now approximately 12.1 years on a cash basis. Each of these metrics is an important measure of cash flow stability and we will continue to be focus on further improvement. The composition of our balance sheet continued to improve this past year and we have included details in our supplemental disclosure package on page 24 showing our credit metrics. We continue to pursue our goal of having 65% to 70% of our assets unencumbered and have reduced our secured debt to less than 20% of gross assets, which is a target we've been working towards for considerable time. Our company has few near-term debt maturities. In 2015, we believe approximately $119 million of secured balloon debt will leave the balance sheet in connection with dispositions and approximately $110 million of balloon maturities are expected to be refinanced with unsecured debt we’ll retire with cash. In addition, we will retire approximately $30 million of secured debt through regular principal amortization. While we continue to unencumbered assets, from time to time, we may access secured financing when we believe it is advantageous to do so, particularly in connection with ground sale-leaseback transactions or financing for a term longer than 10 years is available, where we can effectively monetize the remaining revenue from the assets such as in a credit tenant lease financing. In the first quarter, we financed our ground investment on 45th Street in Manhattan with a mortgage loan of $29.2 million, representing a loan-to-value of 95% of our acquisition costs, with a term to maturity of 10 years and a fixed interest rate of 4.1%, which provides substantial positive leverage on this investment. We also locked rate on $51.7 million first mortgage with a 13-year term to maturity and a fixed interest rate of 3.5% on our FedEx facility in Long Island City. This loan is at 100% of our acquisition costs and is expected to close in the first quarter of 2015. While we continue to unencumbered assets, we will finance fewer and fewer properties with mortgages. But when we do, we will seek to maximize proceeds and take advantage of market opportunities when they're favorable. We believe the company has substantial financial flexibility with approximately $385 million of current availability under its revolving credit facility and a stronger than usual cash position. We continue to fund dispositions of multi-tenant properties attractive and are maintaining line capacity and cash in advance of what we expect to be a growing investment pipeline. Our forward funding commitments totaled approximately $550 million, with about $440 million remaining to be funded. At the end of the quarter, our weighted average cost of debt was 4.5% and our weighted average term to maturity was seven years. We continue to believe that current rates on long-term financing remain quite attractive and that there is great value in locking in fixed rates on long-term debt at this time. Turning to guidance, we provided a guidance range of company, funds from operations per diluted share of $1 to $1.05 per share for 2015, and we've added additional disclosure to our supplemental with respect to NAREIT-defined FFO. As we've previously discussed, the main factors impacting our forecasted company FFO per diluted share in 2015, include a reduction in occupancy that started with fourth quarter of 2014, several anticipated upcoming vacancies, the expected dilutive impact of disposition activity and the effect of carrying unusually high cash balances in advance of build-to-suit fundings and acquisitions. While our guidance reflects several near-term challenges with respect to occupancy, we continue to be extremely positive about our prospects and believe the year ahead will reflect additional growth and progress, and we remain committed to our strategy of enhancing cash flow growth and stability, growing our portfolio in a disciplined manner with attractive long-term lease investments and maintaining a strong and flexible balance sheet to allow us to act on opportunities as they arise. Now I will turn the call over to Pat, who will take you through our results in more detail.
Patrick Carroll: Thanks Will. During the quarter, Lexington had gross revenues of $108 million, comprised primarily of lease rents and tenant reimbursements. The increase compared to the fourth quarter of 2013 of $7.5 million relates primarily to the acquisition and build-to-suit projects coming on line. For the quarter and year ended December 31, 2014, GAAP rents were in excess of cash rents by approximately $15.6 million and $44.6 million respectively. On page 19 of the supplement, we have included our estimates of both cash and GAAP rents for 2015, through and including 2019, for leases in place at December 31, 2014. We have also included same-store NOI data and the weighted average lease term of our portfolio as of December 31, 2014 and 2013. Property operating expenses increased $2.6 million, primarily due to the increased use in occupancy in multi-tenanted properties with the base year cost structure, the acquisition of properties with full recovery of operating expenses and the net impact of management of certain properties being transferred between us and the tenant. General and administrative expenses decreased $1.5 million primarily due to reduced personnel compensation. Non-operating income increased $1.1 million relating primarily to interest earned on our loan portfolio. Interest and amortization expense increased $1.8 million primarily due to the issuance of our 4.4% bonds and the $213.5 million mortgage on our New York City land deals. Gain on sales of financial assets relates to the sale of our property subject to a capital lease and the sale of certain marketable securities. Debt satisfaction charges net of $1.5 million relates to the retirement of $8.6 million of our 6% notes via the issuance of common shares and the cash payment of $171,000. During the fourth quarter of 2014, we incurred impairment charges on our property and loan portfolio of $21.2 million and recorded gains on sales of properties of $35.5 million. During 2014 and '13, Lexington incurred impairment charges on properties that are owned as of December 31, 2014, which are encumbered by non-recourse mortgages. We have a written a basis of these properties down to $37.8 million and the corresponding non-recourse mortgage debt is $61.8 million. On page 41 of the supplement, we have disclosed selected income statement data for our consolidated but non-wholly owned properties and our joint venture investments. We also have included net non-cash interest recognized in the year ended December 31, 2014, on page 42 of the supplement. For the year ended December 31, 2014, our interest coverage was approximately 3.2 times and net debt to EBTIDA was approximately 5.7 times. Now turning to the balance sheet, we believe our balance sheet is strong, as we have continued to increase our financial flexibility and capacity. We had $208.5 million of cash at quarter end, including cash classified as restricted. Restricted cash balances relate to money primarily held with lenders as escrow deposits on mortgages. We believe this cash position provides us with the financial flexibility needed in 2015. At quarter end, we had about $2.1 billion of consolidated debt outstanding, which had a weighted average interest rate of 4.5%, all of which is at fixed rates. We have entered into LIBOR swaps on both the $255 million outstanding on our term loan, which matures in 2019 and the $250 million outstanding on our term loan, which matures in 2018. The current spread components on our 2019 term loan can range from 1.5% to 2.25% and is currently 1.75%, and on the 2018 term loan can range from 1.1% to 2.1% and is currently 1.35%. The significant components of other assets and liabilities are included on page 42 of the supplement. During the quarter ended December 31, 2014, we paid approximately $2.1 million in lease costs and approximately $5.4 million in tenant improvements. For 2015, we project to spend approximately $23 million in these costs. We have also included on page 14 of the supplement, the funding projections for our current build-to-suit projects and our forward commitments, along with the historical NOI recognized on build-to-suit projects that have come on line. As it relates to build-to-suit projects, since we fund the construction cost and as a take out upon completion, we do not recognize interest income during the construction, nor any rental revenue until the project is complete and the tenant takes occupancy. Our basis in the project upon completion is the actual cash we spend in the funding, plus any capitalized costs we have recognized in accordance with GAAP. We capitalized interest using our overall borrowing rate, which is approximately 4.5%. In the current period, we’ve expanded our disclosure surrounding fund from operations. Historically, we have shown our FFO on a fully diluted basis, as if all our securities, whether convertible to common shares are in fact converted. In the current period with prior periods, we seem to follow current year presentation. We continue to show FFO fully diluted as before but have also added a sub total title, FFO available to come shareholders and unitholders-basic. This shows our FFO impacted only for the conversion of OP units and is more in line with the NAREIT definition and other UPREITs that report in this matter. We still believe fully dilutive is the most appropriate presentation and therefore, we have continued to disclose this. However, we have added this additional disclosure based upon the request of investors and analysts. Now, I’d like to turn the call back over to Will.
Will Eglin: Thanks, Pat. As we look ahead this year, we expect to continue to execute on our strategies to build an even better and stronger company, especially after dealing with the leasing challenges through the first half of 2015. The impact of our acquisition activity combined with our capital recycling is improving the composition of our portfolio and is driving long-term cash flows that are far more secure given our extended weighted average lease term and the number of leases we have with annual or other escalations. We expect to continue to execute proactively on leasing opportunities in order to maintain high levels of occupancy and further address lease expirations, unlock values on non-core properties and certain fully valued properties with a bias toward reducing our suburban office and multi-tenant exposure. Capitalized on refinancing opportunities and invest in build-to-suit properties and other investment opportunities to drive cash flow growth and value for all of our shareholders. We believe our company remains well-positioned with an attractive dividend yield, a modest FFO payout ratio and a strong cash position. We remain encouraged by the opportunity to continue to execute on our strategies to improve our cash flow, enhance our portfolio and provide ongoing value creation for our shareholders. Operator, I have no further comments at this time. So, we are ready for you to conduct the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Sheila McGrath from Evercore ISI. Please proceed with your question.
Sheila McGrath: Yes. Good morning, Will. I just wondered if you could give us a little bit more detail on the 95% loan-to-value that you mentioned on the ground lease investment. Can you remind us again, how you view these ground lease investments from an IRR unleveraged and leveraged basis versus other net lease investments? And also if you see this as a trend that underwriting is going on loan-to-value is much higher, or was this just a unique circumstance?
Will Eglin: Yeah. Sure. Recall that the -- we talked about this investment on the call last quarter. This was a 99-year ground lease in Manhattan. The going in cap rate was 4.93% with annual rent escalations and it was structured with the repurchase options, so that our price at the end of 25 years would give us an unleveraged IRR of 7.5%, which we think is very attractive for very secure Manhattan ground parcel, especially when you look at a suburban office investment where you might have vacancy, or a lot of CapEx required to sustain occupancy and cash flow over a comparable holding period. So when we went to leverage the investment, we were -- it was a great execution that reflected the fact that we had a very secured position and we ended up doing a 10-year financing at a fixed rate of 4.1% with roughly 95% loan to value. And that’s going to generate a very giant return on equity for us and leveraged IRR of probably 18% to 20% depending on what the value is in 11 years. So we think it’s a great outcome for us. Obviously, it’s not a leverage neutral transaction, but it is a case where we can use non-recourse financing to generate a very attractive return on equity relative to the risk of the investment. So the emergence of higher loan to value financing is a theme in the marketplace this year, and it has driven down cap rates on ground lease -- other ground lease type investments that we’ve looked at. But it’s also creating disposition opportunities for us to sell assets to buyer using higher leverage that are going to allow us to execute we think a little bit better on the disposition side of our business plan.
Sheila McGrath: Okay. Thank you. And one other quick question, ARCP has arguably been sidelined from aggressively investing in that lease, like they have in the past couple years. I am just wondering if you see any evidence of that in the market benefiting either pricing or competition on acquisitions.
Will Eglin: Yeah. We think it’s a meaningful benefit to us if they’re less active in the market. We think also they were probably $7 billion acquirer give or take last year. So to have such a large investor be sort of on the sidelines I suppose should be meaningful for us from an opportunity standpoint. We are more optimistic about acquisition volume this year as a result. I guess cutting against that a little bit is that even with treasury yields having back up in the last couple of weeks, they are still probably low compared to a year ago. And the availability of pretty aggressive leverage for buyers is going to keep cap rates sort of comfortable I suppose adjusted for our peer being at out of the market. But I think for us, it means that we’ll win more business this year than we would have last year. So from our standpoint, that’s a favorable development in our business.
Sheila McGrath: Okay. Thank you.
Operator: Our next question comes from the line of Craig Mailman from KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Hi, guys. Maybe staying on the land investments for a bit, I guess there is report in the news that the Element Times Square is potentially being put up for sale. Does that change at all the purchase options or any of the aspects of the deal that you guys have in place with these existing owners?
Will Eglin: No.
Craig Mailman: Okay. And then just looking through the tenant list, you guys have Baker Hughes that, I know it has been backfilled by Schlumberger. Do the Schlumberger have any contraction or early expiration options that we need to worry about?
Will Eglin: No.
Craig Mailman: All right. And then maybe you could just talk a little bit more about the private school investment. Is this an ongoing relationship that you guys think you are going to have, how big could that segment become?
Will Eglin: Well, that’s the -- I think from a relationship standpoint, that is our fourth joint venture with SEDCO Capital. And when we do joint venture with SEDCO, it tends to be an asset classes that are outside what we would think of core office or industrial. So we don't have any plans right now to expand in the education segment that, that was the transaction that we were interested in principally from the standpoint of being able to build the joint venture relationship with SEDCO. But we like the company and a 20-year lease that going in cap rate of about 7.5% is an effective yield opportunity for us and inside a joint venture where we’re also earning fee income and a chance to promote. It's an important part of our strategy. It hasn’t become that meaningful yet, but we would certainly like to continue to build our joint venture relationship with SEDCO.
Craig Mailman: Okay. And then just one last one on disposition guidance being accelerated, is that just you guys taking an advantage of the market or could you guys get an asset stabilize quicker than you thought? Just kind of curious on that bumps there relative to last call?
Will Eglin: Yeah. There is more visibility with respect to executing the plan this year. The two substantial sales that we’re working on, it could show up in second quarter would be Sea Harbor Center outside Orlando and Transamerica Tower in Baltimore. So two of those together could be a couple of $100 million and that’s where the bulk of the cash coming in to the company would confirm and leased in first half of the year. So as we look at that getting those properties look to a high level of occupancy, we view this as the time to monetize them and candidly have few successes. From company that -- from properties that were under leased or even fully vacant a few years ago.
Craig Mailman: Great. Thank you.
Operator: Our next question comes from the line of John Guinee from Stifel. Please proceed with your question.
John Guinee: Hi, John Guinee here. Great. I’m looking out the window now at hundred white Transamerica, there are a couple of guys touring it to say no.
Will Eglin: Thank you, John.
John Guinee: Good. At page 11, where you guys have basic FFO and diluted FFO, is that actually NAREIT defined or you don’t really see what it is?
Will Eglin: The line that says FFO available to common shareholders and unitholders basic that’s in line with NAREIT. However, we do show it as the OP units have converted because we treat them as common share equivalents.
John Guinee: Okay.
Will Eglin: So that to me, you were looking at a NAREIT definition for an UPREIT that’s the line I would focus on.
John Guinee: So it is safe to say that you got some religion and you have a NAREIT defined FFO now?
Will Eglin: I have been religious my entire life. So we listen to certain analyst and shareholders who asked us and so we put it in.
John Guinee: Catholic guild, right?
Will Eglin: No. I don’t have that John.
John Guinee: Okay. If I’m doing the quick math on this, and I look at the fourth quarter of ‘14, what I see is a basically about $20 million deduct from $66.3 million of FFO to $46.6 million to get FAD, if I annualized that, that’s $80 million that’s about $0.33 a share. Is that a decent deduct or is that a good ballpark? So that if we take your FFO guidance of $1 to $1.05 and subtract $0.33 we get to an implicit FAD guidance?
Will Eglin: None if so John, if you look at $10 million improvement in least course, that $7 million in the fourth quarter. I think we said in the call we expect that to be about $23 million. So that -- if you annualized that, that’s about $4 million too much going out the door. And the Street Light rent number which is $16.2 million, that cannot be annualized because if you remember how some of our tenant pay goes back. Some quarter it’s much higher than others. So if you looked at the full year of 2014 of $47 million, I would use that as a guide more than annualizing the ‘16. Because remember we do have some tenants that pay a lot of cash rent in the first quarter not in the second -- none in the second and little bit more in the third. If we go through in the supplement later on…
Robert Roskind: Page 19.
Will Eglin: Page 19 we disclosed what cash and cap rents are projected to be going forward. So I would use that as really as my straight-line rent adjustment.
John Guinee: Okay. Can you do the math for us and come up with the FAD number for 2015?
Will Eglin: The straight line rent adjustment will be about $43 million and as we disclosed the TI leasing commissions would be about $23 million. And the other items are pretty much in line of what they really worth for the full year.
John Guinee: Okay. So basically say $75 million divided by 243 million shares get you about a $0.30 deduct from FFO to FAD, is that fair?
Will Eglin: That’s reasonable John.
John Guinee: So then, well let’s see word of mouth, so that’s basically $0.30 deduct get you about $70 million to $75 million -- $0.70-$0.75 FAD against a $0.68 dividend? How many more years do you think you have a dividend increase in year?
Patrick Carroll: Our expectation is that when we put our cash to work this year and begin to turn construction and progress into cash flowing assets, that we will be comfortable increasing the dividend at the end of this year, which is a typical policy and we will have been through this heavy period of move outs at the same time and while the weighted average lease term of probably 12 plus years with most of our assets having annual rent escalations in them. So, I think, the prospect for a regular dividend growth at that point in time are probably better than they have ever seen.
John Guinee: Great. Great. And then, the last question is, what’s -- in today's environment are you, is it better capital or better debt-to-borrow off these ground leases or to borrow unsecured?
Patrick Carroll: Well, the financing on ground lease position is extremely favorable. That's for sure. We are doing a little bit above. But the good execution that we got on 45th Street was extraordinary. If you look at the first round transaction we did, we did a 70% loan-to-value financing. So that debt market has strengthened considerably relative to the unsecured market.
John Guinee: And if you look at the environment out there right now, you're doing a basically the vast majority of your investments are combination of build-to-suit on industrial and ground lease positions? Is that essentially your primary or exclusive target for 2015?
Patrick Carroll: The build-to-suit and ground transactions?
John Guinee: Yeah. Build-to-suit industrial and then ground lease transactions?
Patrick Carroll: Well, we are active in the build-to-suit office market, as well as long as we can get a 15 or 20-year lease term. So we are -- I would say, we are principally focused on build-to-suit and ground transactions. But it wouldn't surprise me at all if we did $150 million or $200 million of purchases this year, which would be, those are transaction that aren’t under contract right now, so they are not scheduled out in the supplement. But we do think and it wouldn't surprise me if the bulk of that acquisition activity was within long-term lease industrial.
John Guinee: Great. Thank you very much.
Operator: Our next question comes from the line of Jamie Feldman from Bank of America. Please proceed with your question. Jamie Feldman, your line is live.
Jamie Feldman: Good morning. I just want to make sure I understand all the moving pieces in the guidance assumptions. So its sounds like you guys are thinking $200 million to $225 million of acquisitions and then what's the yield on that?
Patrick Carroll: That’s about, a little bit above 7…
Jamie Feldman: Okay.
Patrick Carroll: And the bulk of that is in the -- the $155 million in the Preferred Freezer transaction, which is a fourth quarter close, Jamie.
Jamie Feldman: Okay.
Patrick Carroll: So if you look…
Jamie Feldman: And then…
Patrick Carroll: … if you are looking the supplemental, there's a schedule of anticipated fundings through the year on transactions that were contractually committed till today.
Jamie Feldman: Okay. And then, the $150 million of funding you said for underway investment? Is that separate?
Patrick Carroll: Yeah. That’s build-to-suit projects that are under construction.
Jamie Feldman: Okay. And when you think most of those deliver?
Will Eglin: Well, the fundings are throughout the year, we have shown in the press release when we anticipate the build-to-suit to close, they range from second quarter all the way through -- 2015 second and third quarter ’15, and there are some that go after 2016.
Jamie Feldman: Okay. That’s based on the schedule and supplemental.
Will Eglin: Yeah.
Patrick Carroll: That’s correct. Page 14 in the supplemental.
Jamie Feldman: Okay. Okay. And then you are saying $ 300 million to $350 million of dispositions and what’s the yield on that?
Patrick Carroll: I think when we look at year in the aggregate, I would hope that it comes in less than six. Although several of those buildings are conveyances to lenders of zero revenue assets.
Jamie Feldman: Okay. And then to -- is it like a same-store NOI assumption?
Will Eglin: The impact of losing occupancy would mean that same store would likely be negative. But we'll have to see how long those assets stay in the same-store portfolio to be able to give you more accurate REIT.
Jamie Feldman: Okay. All right. That’s helpful. I appreciate your time.
Operator: Our next question comes from the line of Charles Croson from Jefferies. Please proceed with your question.
Charles Croson: Good morning. Thanks for taking the questions. I’m joining in for Tayo this morning. Just following up on that guidance question there, I guess, just trying to figure out what all the elements are here because you guys were behind the street and it doesn’t look like there was that much that changed from what you announced for your release earlier this year, with the exception being the increased disposition. So I guess, I’m just trying to figure whether anything on an operational basis has changed, whether you're seeing a little bit more of negative rental spread, whether there's no more timing of the dispositions in the first half of this year as opposed to the back half. So you can just kind of give that out a little bit more, I’d appreciate that? Thank you.
Robert Roskind: Sure. Obviously, for the disposition activity in fourth quarter, we have more -- we had more cash on balance sheet right now than we’ve had probably in, I’m guessing, five or six years. The disposition activity we think will be heavier. And we think the bulk of it probably hits in the second quarter, to the extent, we complete transactions on Light Street and Sea Harbor Center. So the lower end of our guidance assumes that we run the company with robust cash balances in the first part of the year, improved earnings outcome, if we are able to close some of these potential acquisitions in the first half of the year. The other thing I would point out is we have for the last few years generally run the company with 97.5% to 98% occupancy. And we've been pretty consistent about telling people that we think anything above 96% is -- should be considered full. So the higher occupancy was a luxury but it was sort of an easy thing to get used to. And the other thing I would comment on is, it's one thing to lose occupancy in industrial buildings where there's lots of square footage but rental per square foot isn’t that high. But losing it in office, impacts the results much more severely. And the other thing that we would want to make sure looking at everybody’s models and assumptions is that sort of got the negative carry on these empty buildings, right. So those would be -- I don’t think it’s necessarily any one thing. We tend to be fairly draconian when we look at our leasing projections for the year. And in fact in our guidance, we don't assume that we lease any of our vacant square footage. We do plan to sell some of that obviously, principally through disposing of properties to lenders but beyond that we’re assuming in our guidance that our vacant square footage stays vacant. So hopefully there's room for some positive outcomes as the year progresses. With respect to leasing spreads, we don't think they are material on renewals at this point in either 2015 or 2016. So at least from that standpoint that shouldn’t be part of the story here.
Charles Croson: Okay. That’s helpful. And just a follow-up on that real quick that portion of vacant buildings that are not up for disposition. Do you have a sense of the impact that might be on towards an upside to guidance for 2015?
Will Eglin: No. I mean, we will have to wait and see. Until we have, like very clear visibility on leasing activity, we try not to get ahead of ourselves with respect to what its impact would be on guidance.
Charles Croson: Okay. That’s helpful. And then just one last one for me. Just switching gears here towards oil and gas, just wanted to see if you guys are seeing anything in terms of leasing slowdown or difficulty in rents, or in concessions and such, particularly the Houston market given the sort of ongoing decline in oil prices? Thanks.
Will Eglin: As it relates to our portfolio with Houston, I mean, our lease terms are very long, 2021,’25, 2033, ’38. So for the most part, not really that impacted by it because we are not out there leasing up vacant space in the Houston market.
Robert Roskind: Yeah. The one building that we have coming off lease in Houston, where we would expect a vacancy that this year we have under contract for sale now and it's not a substantial asset. So, we are pretty well locked in with no rollover until 2018 and so hopefully that’s enough time to get through, whatever near-term softness there is in Houston.
Charles Croson: Got you. Okay. Thanks. Thanks for answering the questions.
Operator: Our next question comes from the line of Todd Stender from Wells Fargo Securities. Please proceed with your question.
Todd Stender: Yeah. Thanks guys. Will, you just mentioned you have for one asset in Houston under contract for sale. Looks like you sold the retail asset in Florida, so far Q1. What else do you have under contract, what kind of visibility do you have in dispositions in the near-term?
Will Eglin: We are not very much under contract right now, Todd. But we're pretty far along in the marketing process and Sea Harbor Center and Transamerica Tower. So, we are optimistic that by the time we get to our next conference call, we’ll have a clearer discussion of what the outcome will be for those assets.
Todd Stender: Great.
Will Eglin: In the first half of year, they are the most material potential dispositions.
Todd Stender: Okay. Thank you. You were recently repaid on your Norwalk loan, just looking at the remaining office loans, both of which come due this year, the Southfield, Michigan borrowers in default and the Westmont, Illinois is due in October. If you just kind of speak to the probability that Southfield loan being repaid and then any details you have on the probability of a timely payoff for Westmont?
Robert Roskind: We believe they are both before closures. We will get the properties back.
Todd Stender: Sure. And then can you walk through the strategy of -- you are encumbering the FedEx facility in Long Island City. Sounds like a great LTV, but it also seems there will be a wash in cash this year and you are also trying to increase the unencumbered portfolio. Can you just kind of go through the thought process with that facility?
Will Eglin: Yeah. Absolutely. What we are doing, Todd is very once in a while, where we are using secured financing, where we can get like high loan-to-value financing like we get essentially financing for our Long Island City, building our acquisition cost and getting 95% loan-to-value on the ground-lease transaction. What will happen is over time, more and more of our assets will become unencumbered but when we encumber them, we’ll use higher loan-to-value financing. So, we are doing two things. We are financing fewer and fewer assets but when we do, they are at the higher loan-to-value. So there is two things going on. As our mortgages come due, we are unencumbering assets and we don't plan on refinancing any mortgage maturities this year or next year with other mortgages. But that doesn’t mean we are entirely out of the financing market, especially when we can get match funded financing or term or longer than 10 years, where we are getting maturities that are longer than one might get in the bond market.
Todd Stender: Thanks, Will. And then just finally, when you’re looking at the increase in disposition assumptions for this year, any of the proceeds can be used for 10/31 exchanges or are -- should we expect any gains that might result in a special dividend?
Will Eglin: 10/31.
Todd Stender: Great. Thanks.
Operator: Our next question comes from the line of Anthony Paolone from JPMorgan. Please proceed with your questions.
Anthony Paolone: Thanks. And good morning. Will, can you just run through some of the bigger buckets, like industrial versus office, investment grade or not and where cap rates are sort of what you’re seeing out there?
Will Eglin: Yes. If we look at the forward pipeline going in cap rates range from 6% to about 7.75% and obviously the ConAgra and Dow Chemical transactions that we have underway or that we’ve committed to, are investment grade. And we have a couple of other transactions that we would hope to have under our control in the next 60 to 90 days, that are 15 and 20 year investment grade lease transactions and those tend to be toward right at the lower end of the cap rate range, but we continue to be active in the sub-investment grade credit area as well. So it’s a little bit of a mix in the build-to-suit area, that’s generally where we’ve had I supposed the best luck getting long-term leases with high grade credit, and we will continue to exploit those opportunities as they become available to us. So I would say the mix of transactions that we are looking at right now is a little bit more skew toward industrial than office. But given the rent and cost per square foot of office buildings, if we’ve got one or two office buildings in the pipeline, that could skew things the other way from a value standpoint.
Anthony Paolone: So make sure I understand, that’s 6% to 7.75%, that’s where build-to-suit type transactions or that’s your whole pipeline?
Will Eglin: That’s the whole pipeline.
Anthony Paolone: What’s the spread like between say similar assets that you commit to on a build-to-suit basis versus an existing up and running net lease property that you could just buy straight up? What kind of spread do you currently get for taking sort of the forward risk?
Will Eglin: It largely depends on how far forward it is. I think on certainly 50 to 75 basis points, but if you are committing to years forward on office transaction, it’s going to be wider than that, maybe to 100 or 125. We would think for example that Dow Chemical transaction, which we will have a 7.3% going in cap rate for -- if that were come into market today, we would probably trade at 6, but when we committed to that, obviously two-year forward.
Anthony Paolone: Okay. Got it. Thank you.
Operator: Our next question comes from the line of Bill Segal from Development Associates. Please proceed with your question.
Bill Segal: Thank you very much. I think KeyBanc touched on it, I see this, Houston, Texas private school. What kind of a private school is it, Kindergarten through 12?
Will Eglin: K-12?
Bill Segal: Yeah, K-12? Okay. A local operator or is it a charter schools sort of thing?
Will Eglin: No, it’s the British school.
Bill Segal: Okay.
Will Eglin: So it’s not a local operator.
Bill Segal: Okay. Terrific from a small investor. I would just love to see segue from the for-profit colleges. This seems like a much better model.
Will Eglin: Yes.
Bill Segal: On your Sea Harbor disposition in Orlando, do you see it’s under contract or…?
Will Eglin: It’s not under contract at this point, but we are pretty deep into the process of picking it.
Bill Segal: Terrific. And the only reason you’re getting little bit is doesn’t meet your single-tenant criteria. I mean, is it paying its way or…?
Will Eglin: Yeah, it’s paying its way. This building was empty a few years ago. Part of what we do when we have an empty building is sometimes we converted to multi-tenant and try to lease it up through high level of occupancy and then sell it once it’s stabilized.
Bill Segal: Okay.
Will Eglin: So that's really what’s driving it. We’ve reached a high level of occupancy and it’s not core to us, so our view is, once the value is being created, we should turn it into cash and put the cash back into single-tenant investments.
Bill Segal: Wonderful.
Will Eglin: So that’s what we’re in the process of doing here.
Bill Segal: Thank you, gentlemen. Appreciate it.
Operator: Our next question comes from the line of Mel Cutler from Cutler Capital. Please proceed with your question.
Mel Cutler: I have very simple question. What do see for share issuance during 2015?
Will Eglin: We don't have any share issuance in our guidance. Our preferred strategy for freeing up capital to put to work in our acquisition pipeline is to utilize cash and disposition proceeds. And as I mentioned earlier, we’ve got several multi-tenant buildings that we’ve now leased up that we can turn into a fair amount of cash during the year, so that's what we are focused on right now, Mel.
Mel Cutler: Okay. Most of my other questions have been answered. Thank you.
Will Eglin: Okay. Thanks.
Operator: There are no further questions in queue. I’d like to hand the call back over to management for any closing comments.
Will Eglin: Well, once again, thanks you for joining us this morning. We continue to be very excited about our prospects for this year and beyond, and as always, we appreciate your participation and support. If you would like to receive our quarterly supplemental package, please contact Gabriela Reyes or you can find additional information on the company on our website at www.lxp.com. And in addition, as always, you may contact me or the other members of our senior management team with any questions. Thanks again.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.